Operator: Good morning ladies and gentlemen, and thank you for standing by. Welcome to Keurig Dr Pepper's Earnings Call for the Third Quarter of 2019. This conference is being recorded and there will be a question-and-answer session at the end of the call. I would now like to introduce your host for today’s conference, Keurig Dr Pepper Vice President of Investor Relations, Mr. Tyson Seely. Mr. Seely, please go ahead.
Tyson Seely: Thank you, and hello, everyone. Thanks for joining us. Earlier this morning, we issued our press release for the third quarter of 2019. If you need a copy, you can get one on our website at keurigdrpepper.com in the Investors section. Consistent with previous quarters, today we will be discussing our performance on an adjusted basis excluding items affecting comparability and with regard to the year ago period. Our financial performance also takes into account pro forma adjustments due to the merger. The Company believes that the adjusted and adjusted pro forma basis provide investors with additional insight into our business and operating performance trends. While these pro forma adjustments and the exclusion of items affecting comparability are not in accordance with GAAP, we believe that the adjusted and adjusted pro forma basis provide meaningful comparisons and an appropriate basis for a discussion of our performance. Details of the excluded items are included in the reconciliation tables included in our press release and our 10-Q, which will be filed later today. Due to the inability to predict the amount and timing of certain impacts outside of the Company’s control, we do not reconcile our guidance. Here with me to discuss our third quarter 2019 results and our outlook for the balance of the year are KDP Chairman and CEO, Bob Gamgort; our CFO, Ozan Dokmecioglu; and our Chief Corporate Affairs Officer, Maria Sceppaguercio. And finally, our discussion this morning may include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to a number of key risks and uncertainties that could cause actual results to differ materially, and the Company undertakes no obligation to update these statements based upon subsequent events. A detailed discussion of the risks and uncertainties is contained in the Company's filings with the SEC. With that, I'll hand it over to Bob.
Bob Gamgort: Thanks, Tyson, and thanks to everyone for dialing in. Before diving into the discussion of the quarter, I wanted to take a moment to share the overall value creation model for KDP that we frequently discussed in our investor meetings. While we always have a number of detailed items that we cover in our quarterly earnings calls, it’s helpful to remain focused on the key drivers of value which are fairly straightforward. We created KDP with a mission of providing consumers with a beverage for every need, whether hot or cold, available everywhere they shop and consume. We set ambitious three-year goal from both top and bottom lines, to grow revenue 2% to 3%, operating income 11% to 12% and EPS 15% to 17%, fueled in part by $600 million of synergies and free cash flow conversion excess of 100% to enable rapid deleveraging to below three times. In cold beverages, we need the non-cola CSD segment and have meaningful positions in a number of high growth and on-trend cold beverage segments. For example, we're the number two player in premium water. We're also one of three companies with near national retail reach to our direct store delivery system. We create value by renovating and innovating our portfolio to leverage that selling and distribution powerhouse and by partnering with emerging growth brands that offer access to new segments and clear path to ownership. Productivity provides funding for our brand marketing and innovation. In Coffee Systems, we create value through expanding Keurig system household adoption by converting drip consumers to single serve. Keurig brewer and coffee innovation combined with effective system marketing drives that conversion. Unique to Coffee Systems, we share productivity with our partners to lower the price of K-Cup pods, further driving consumer growth while still continuing to expand our margins. Across the enterprise, we drive exceptional free cash flow that enables us to delever and offer shareholder value optionality in the future. With five quarters behind us as an integrated company, we demonstrated that our value creation model is working with significant potential still in front of us. With that as perspective, let me now turn to the third quarter results. All four of our segments again registered underlying net sales growth and we continue to perform well in the marketplace, growing dollar consumption and market share in a number of our key categories. This top line performance which was balance between volume mix growth and positive net price realization along with synergies and productivity drove another quarter of strong underlying adjusted EPS growth of 13%, excluding 6 percentage point year-over-year headwind from lapping one-time gains in Q3 last year, which Ozan will discuss shortly. Our cash flow generation also remained very strong, enabling us to pay down $423 million of structured payable and reduce debt by $71 million in the quarter. To date this year, we have generated over $1.6 billion of free cash flow with our cash flow conversion at an impressive 130%. We continue to build our roster of brand partnerships during by agreeing to a long-term master licensing and distribution agreement for McCafé packaged coffee in the U.S. You may recall that we agreed to a similar arrangement with McCafé in Canada in Q4 of 2018. The U.S. McCafé agreement will go into effect during the second half of 2020. While McCafé was previously a partner brand in the Keurig system. This new licensing agreement gives us the added responsibilities of coffee sourcing, manufacturing, distribution, selling and marketing the brand in all forms across all channels. This new agreement is a testament to the strength of the overall Keurig system and KDP's capabilities in coffee. Retail market performance based on IRi was again solid in the quarter. We grew dollar consumption and market share in several of our key categories including CSDs, premium water, shelf stable fruit drinks and shelf stable apple juice. This performance reflected the growth of key brands such as Dr Pepper and Canada Dry CSDs, CORE Hydration, Snapple juice drinks and Motts apple juice. As is always the case when managing a broad portfolio, we have a few categories that require additional focus. Falling into that territory are Bai, Snapple Teas and the ramp up of new Allied Brands. We believe we have good line of sight to improve performance across all three of these areas, which I’ll speak to in a few minutes. In our U.S. coffee business, volume consumption of single-serve pods manufactured by KDP grew approximately 2% as measured by IRi, which we know greatly understates actual growth. As we discussed at our recent conference which reported in the tracked channels only represents about half of our total K-Cup pod business, with untracked channels particularly e-commerce experiencing higher growth rates. For comparison, our pod shipment growth in the third quarter was 6.1% and over the past 12 months K-Cup pods have grown 8.6%. These growth rates are more representative of the growth in the broader category. Dollar market share of KDP manufactured pods and tracked channels remain strong at 81.4% in the latest 52-week period. In terms of high level financials on an adjusted basis, our underlying net sales which exclude the movements in and out of our portfolio of Allied Brand grew 3.1%, with growth from all four segments. This performance reflects the strength of all mix growth and higher price to net price realization. In addition, we also had a modest benefit from an extra DSD shipping day in our Packaged Beverages segment. Adjusted operating income grew 8% in the quarter, reflecting the strong underlying net sales growth, productivity and merger synergies, partially offset by inflation primarily in packaging and logistics. Operating income growth would have been even higher, if not for the unfavourable comparison versus a year ago of a one-time gain related to the Big Red acquisition. Ozan will cover the details of that later in the call. The underlying adjusted EPS growth of 13% reflected our balance top line growth and operating income performance, along with the benefits of continued debt reduction and a lower effective tax rate. All key tenants of our three year merger targets. Turning now to our segments. Starting with Coffee Systems. Net sales increased 1.1%, fueled by higher volume mix of 3.1%, partially offset by lower net price realization of 1.9% and unfavorable foreign currency translation of 0.1%. The higher volume mix for the segment was driven by pod volume growth of 6% and brewer volume growth of 8%, partially offsetting the growth in buying this quarter was lower pod mix, reflecting the mix impact of higher shipments to brand partners for whom we only record a tolling fee. As we enter the important retail holiday season for brewer sales, our new line up of K-Duo brewer is now fully on self and performing very well. As you recall the K-Duo line of brewers provide consumers the ability to brew a large part of coffee through a traditional drip system. In addition to a single cup to K-Cup pods. The line is receiving great consumer reviews online and we are excited about the incremental household that they will unlock. The K-Duo line up is being supported with increased marketing across traditional and digital media platforms and continues to feature James Corden as our brand ambassador. Consistent with our discussion on our last earnings call, we expected Q3 to be a bit out of sync, which is exactly what transpired. Adjusted operating income declined 3% to a mismatch this quarter in the timing of pricing, inflation and brewer investments including media, market research and innovation, development costs, compared to the positive offset of productivity and volume. As we’ve discussed consistently, the nature of this business leads to volatility in results from quarter to quarter. But when viewed over a slightly longer timeframe, the growth we continue to drive becomes quite clear. For perspective, on a trailing 12 month basis, K-Cup pod volume advanced 8.6%, total Coffee Systems operating income grew nearly 5%, and operating margin expanded 100 basis points. Quarterly results have fluctuated both above and below these numbers sometimes meaningfully; however, we remain focused on the real underlying drivers of growth. Turning to the Packaged Beverages segment, reported net sales for Packaged Beverages were again significantly impacted by the unfavorable impact from the changes in our Allied Brands portfolio, which amounted to a 5.8% segment headwind in the third quarter. Excluding this impact as well as the 0.6% benefit we have from an extra DSD shipping day, underlying net sales grew a healthy 3.1% in the quarter, driven by net price realization of 2.7% and a higher volume mix of 0.4%. As mentioned previously, the impact from our Allied Brands will switch from a headwind to tailwind in the fourth quarter and represents a top line driver in 2020. Driving the 3.1% underlying net sales growth for Packaged Beverages in the quarter was Dr Pepper, Canada Dry and CORE Hydration, the latter of which continues to register very strong growth with an over 30% increase in retail sales in the trailing 52 weeks. In the case of Canada Dry, double-digit net sales growth was driven by successful innovation launched earlier this year as well as strength in the core brand. The Fansville College football campaign behind Dr Pepper is also in full swing, delivering strong results for our flagship CSD brand. The campaign is resonating well with consumer and is driving additional in-store displays, higher inventory on display, retail dollar growth and volume performance that continues to outperform the category. As we enter the championship drive with the college football season, the campaign will feature new media content, on pack consumer offers, strong in-store execution, digital and social media, as well as the return of our college tuition giveaway program. We are also rolling out our green bottle campaign with a handful of brands including Canada Dry in conjunction with the holidays. This campaign is always well received at retail and we expect to provide good support behind our brands during a key selling season. Also contributing to underlying sales growth in the quarter were Motts, Sunkist and A&W as well as contract manufacturing. As mentioned earlier, there were few areas where we see performance trailing our expectations. Bai, Snapple Tea and some of the new additions to our Allied Brands. Bai performed below the category in the quarter and we are implementing a number of programs to address performance, which we will share with you early in the New Year. While we have regained Bai distribution that had been lost in Q2 of 2018, we’re not experiencing the lift and velocity expected behind our marketing. As we close out this year and head into 2020, our focus behind Snapple Tea will be on brand renovation. And finally let me touch briefly on our Allied Brands portfolio. To refresh everyone’s memory, we had significant changes in the Allied Brands portfolio at the time of the merger, hence our discussion since that time of the concept of underlying net sales. As we said on previous calls, the negative comparison to year ago of Allied Brands turns to a tailwind in Q4 and is no longer a factor as we enter 2020, which will enable us to drop the discussion of reported versus underlying growth. Our total Allied Brands portfolio generates approximately 350 million in retail consumption and represents 3% of our cold beverage sales. While not large in the absolute, we expect these brands to revise access to higher growth segments. To that point, the ramp up of the new brands to the Allied portfolio is progressing slower than expected. The reasons are slightly different for each brand, but in total we see a delayed response in realizing the full growth potential of these brands. As a result, we now expect the year-over-year net changes in the Allied Brands portfolio to result in a headwind to total KDP net sales of approximately 200 basis points versus the 100 basis points forecasted at the beginning of the year. The great news is we expect KDP's total underlying sales growth to approximately reach 3% for the year, which is at the high end of our target, driven by very strong growth on our own brand that’s been able to offset the slower start on Allied Brands. We also continue to plant seeds to support to future growth such as A Shoc Smart Energy drink, which while still quite early is performing well in the market. We’ll discuss more about that in early 2020. Operating income for packaged beverages in the third quarter advanced a strong 23%, largely reflecting the growth in underlying net sales, strong productivity and merger synergies as well as the timing of marketing spending, partially offset by inflation particularly in packaging ingredients and logistics. And finally, we expect to exit the fourth quarter this year with strong sales growth that will fuel our momentum into 2020. Turning now to the Beverage Concentrate segments, which represent sales of concentrates to bottlers and syrups to fountain customers, Net sales were up nearly 9% in the quarter, driven by both net price realization and volume mix growth. The strong volume performance was driven in part by our fountain food service business and is reflective of the strength in our core brands, such as Dr Pepper, Canada Dry, Sunkist and Big Red. Operating income for Beverage Concentrates advanced a strong 20% in the quarter primarily reflecting the strong growth in net sales as well as merger synergies and productivity. And finally, turning to Latin America beverages, net sales for the segment increased 1.5% in the third quarter and operating income of $25 million declined slightly, resulting from higher marketing spending and inflation. With that, I'll hand it over to Ozan.
Ozan Dokmecioglu: Thanks, Bob, and good morning everyone. I will start with a review of the financials for the third quarter, which was a good one for KDP. I will then transition to our outlook for the balance of the year continuing on an adjusted basis. Net sales for the third quarter increased 0.5% to $2.87 billion compared to $2.86 billion in the prior year. This performance reflected strong underlying net sales growth of 3.1%, driven by higher volume mix of 1.5% and favorable net price realization of 1.6%. Also in the quarter, we have the additional shipping day in our Packaged Beverages segment which added 0.3% of the growth, partially offsetting the underlying net sales growth and the extra shipping day was the unfavorable impact of 2.7% from changes in our ally France portfolio as well as unfavorable foreign currency translation 0.2%. On a constant currency basis, underlying net sales increased 3.3%. Operating income in the quarter increased 8% to $754 million compared to $698 million in the prior year. This increase reflected strong underlying net sales growth and continued productivity and merger synergies in both cost of goods sold and SG&A. These growth drivers were partially offset by inflation, led by packaging and logistics, and the unfavorable comparison versus year ago to the one-time $6 million gain related to the acquisition of Big Red. Operating margin advanced 190 basis points in the quarter to 26.3%. In terms of our segment performance for the third quarter on an adjusted basis, net sales for Coffee Systems increased 1.1% to $1.07 billion in the quarter, compared to $1.05 billion in the prior year. This performance reflected higher volume mix of 3.1% which was partially offset by lower net price realization of 1.9%. The value mix performance was driven by strong brewer volume growth of 8% and part volume growth of 6.1%, despite the previously discussed shift of certain pods shipment from the third quarter of 2019 into the second quarter. As Bob discussed earlier, the strong pod volume growth was partially offset by unfavourable mix reflecting the impact of higher pod shipments to our branded partner in the quarter. Unfavourable foreign currency transition of 0.1% also impacted net sales in the quarter. Coffee Systems operating income was down in the quarter as expected specifically operating income declined 3.4% to $367 million compared to $380 million in the prior year, reflecting unfavourable mix, lower pricing, inflation in packaging and logistics and higher grew investments including media, market research and innovation development cost. We are also lapping the timing of certain adjustments in the prior year related to legacy Keurig Green Mountain's year end including bonus and stock compensation partially offsetting these factors where the strong volume growth as well as continued productivity and merger synergies. Operating margin in the quarter was 34.5%. Moving to packaged beverages, net sales for the segment decreased 2.2% in the quarter to $1.31 billion compared to $1.34 billion in the prior year. This performance reflected strong underlying net sales growth of 3.1% driven by the higher net price realization of 2.7% and increase volume mix of 0.4%. Additionally, the extra shipping day in the quarter had a favourable impact of 0.6%, more than offsetting these growth drivers was the unfavourable impact in the quarter of 5.8% from changes in the Allied Brands portfolio and unfavourable foreign currency transition of 0.1%. Operating income for packaged beverages increased 22.6% to $201 million in the third quarter compared to $164 million in the year ago period. The performance last reflected continued productivity and merger synergies, strong growth underlying net sales and the timing of marketing investments. These positive drivers were partially offset by inflation in package, ingredients and logistics. Operating margin up 310 basis points versus ago to 15.4% Turning to Beverage Concentrates, net sales for the segment increased 8.8% in the quarter to $360 million compared to $331 million in the prior year. This performance was driven by higher net price realization of 6.5% combined to its favourable volume mix of 2.3%. The strong net sales growth in the quarter was driven by Dr Pepper, Canada Dry, Big Red and Sunkist. The shipment volume increased for Beverage Concentrates was due primarily to Dr Pepper and Canada Dry, Big Red, Sunkist. In terms of bottler case sales volume, Beverage Concentrates increased 2.1% compared to the year ago period. Operating income for Beverage Concentrates increased 19.6% to $244 million compared to $204 million in the year ago period. This performance reflected to benefit on net sales growth, strong merger and productivity, operating margin advance 620 basis points versus year ago to 67.8%. Turning to Latin America beverages, net sales for the segment increased 1.5% to $138 million compared to $136 million in the prior year. This performance was driven by higher net price realization of 5.2%, partially offset by lower volume mix of 1.5% and unfavorable foreign currency translation of 2.2%. On a constant currency basis net sales increased 3.7%. Operating income for Latin America beverages total $25 million in the second quarter compared to $27 million in the year ago period. This platform reflected the net sales growth and productivity which were more than offset by inflation in logistics and ingredients as well as increase marketing investment. Turning to interest expense, interest expense in the third quarter declined $17 million or 10.5% to $145 million and was driven by our continuous deleveraging. Net income for the quarter increased 8.2% to $451 million compared to $417 million in the prior year. This performance was driven by the strong operating income growth, lower interest expense and lower effective tax rate compared to the year ago period. Partially offsetting these favorable drivers was an unfavorable comparison as to the prior year to the $24 million gain from BODYARMOR. This gain along with previously mentioned 6 million gained related to the acquisition of Big Red, collectively reduced the year-over-year net income growth rate by approximately 6 percentage points, translating into underlying net income growth of approximately 14%. Taking all of these factors together, our adjusted diluted EPS in the fourth quarter increased 6.7% to $0.32 compared to $0.30 in the prior year. On an underlying basis adjusted diluted EPS was 13%. Free cash flow was again strong in the quarter driven by growth in net income and continued expected working capital management. As a result in the fourth quarter, we paid down approximate $423 million of structure payables and reduce net debt by an additional $71 million for a total of $494 million in payments. This increase is the total amount of debt pay down in the first nine months of 2019 to $788 million as well as the reduction in structure payout of $188 million. For the first nine months of 2019, we generated other $1.6 billion in free cash flow with a free cash flow conversion rate of 130% and exited the quarter with $74 million of unrestricted cash on hand. The debt reduction in the quarter along with our growth in adjusted EBITDA, reduced our debt to adjusted EBITDA ration which preferred to as our management leverage ratio to 4.8 times. This attractive pays off deleveraging continues to consistent with our expectations. And for perspective, since the merger close, we have paid down a total of over $1.7 billion of debt. And finally in terms of our outlook for the balance of 2019, for the full year we continue to expect adjusted diluted EPS growth in the range of 15% to 17% representing $1.20 to $1.22 per share. This guidance is in line with our long-term merger target, we continue to expect net sales growth of 1% to 2% with underlying net sales growth now expected at approximately 3%, the later of which is at the high end of our long-term merger target of 2% to 3%. This net sales growth reflects higher than expected growth from the core business and the slower ramp of the new Allied Brands, resulting in an approximate 200 basis points headwind impact from the changes in the Allied Brands portfolio. We continue to expect merger synergies of $200 million in 2019, this is consistent with our long-term merger target and we continue to expect these synergies to fully flow through to EPS. We continue to expect interest expense to be in the range of $550 million to $565 million, this reflects our expectation of significant cash flow generation and continued deleveraging as well as the first half benefit in 2019 totalling $40 million from the unwinding interest rate swap contracts. We continue to estimate our effective tax rate for 2019 to be in the range of 25% to 25.5% for the year. We continue to expect our diluted weighted average share outstanding to approach $1.42 billion in 2019. While we do not provide EPS guidance by quarter, really mind to that we expect quarter for EPS growth to be temporary to campaign the significant onetime gains approximately to $17 million related to the core acquisition in 2018. We continue to expect our second half synergies to be greater than our first half synergies. We continue to expect inflation to moderate somewhat in the second half. And finally in 2019, we continue to expect free cash flow to approximately $2.3 billion to $2.5 billion with this strong free cash flow generation, we expect our management leverage ratio to be in the range of 4.4 to 4.5 times by the end of 2019. We also remain confident that we will achieve our leverage target of below three times improved in two to three years from July 2018 merger closing. And with that, I will hand it back over to the operator to open it up for your questions.
Operator: [Operator Instructions] Our first question comes from Bryan Spillane with Bank of America. Your line is now open.
Bryan Spillane: Just two questions from me. Just one, Ozan, on the free cash flow conversion, this year you over a 130% and I think what would be implied in terms of getting to the leverage target, the multi-leverage target that you can maintain a pretty high level of free cash flow convergence. So can just give us a sense of whether or not where you stand today at converting over 130% is still sustainable? Or is there some reason why it would be maybe different going forward? Then I've got a follow-up.
Ozan Dokmecioglu: Good morning, Bryan. In short, yes, the answer to your question; right now for this year as we announce the conversion ratio is 130. Of course there are lots of puts and takes and as we discussed before, our effective working capital management was the main of getting over 100 but we still have continuation of our program into 2020 as well as 2021 and we are also as we always do after seeing the opportunities and explode the new initiatives which we expect actually our conversion ratio to be closer to around give-and-take 100% conversion. And if you can do better of course we will do better, but the conversion ratio will be high in the upcoming two years.
Bryan Spillane: And then, Bob, on the brewers, the brewer lineup, I guess going into the holidays. If you go back to the investor day, you talk about sort of the bridge to build household penetration from that point about 20% and it was quality modernizing, making it more convenience variety value. Right, there was a whole sort of cost of levers right that would drive penetration and it just seemed at this point you got all the brewers now renovated with the new engines, you got to do over the market, which is more convenient. It just seems like you kicked off a lot of those different lever. So can you just update us on how you're thinking about brewer lineup today? Those sort of clusters, and what it might imply for beginning to accelerate household penetration?
Ozan Dokmecioglu: Sure, you're referring to the waterfall that we showed in the investor day, where we identify the opportunity to convert households in the range about 60 million households will be converted. And then we go built on that, show the research as to why people who theoretically should be in a single serve Coffee System warrant. And then we redesigned our brewers, and our marketing plans to specifically go after those barriers. So job one, if you go back probably your job one was to, increase the quality of the brewers, hit the right price points, and then begin to add features. And as you accurately point out, we've been ticking off many of those opportunities, modernizing the look, going in the specialty beverages with the K-Café and now very importantly, going after one of the biggest barriers is the ability to produce the large batch of coffee with K-Duo. So I would tell you as we sit here today, the quality of the brewers is up significantly, you don't have to take my word for you can just look at the star ratings online. We’ve been able to feel out a lot of the basics, hitting the lower end price points. We’re now moving the higher end as well and then filling out most of the functionality that we talked about. And so we’re really happy and that’s what’s driving the strong household penetration that we continue to experience, but we’ve got a great pipeline still ahead. There is still a lot of white space to feel in between all of those and there are new features and benefits that we can add to existing brewers to make them even more interesting that will share with you in the coming months. So, we feel like we got the basics in place, but a lot of upside still left. And then I would also remind you that there are drivers of household penetration that aren’t directly connected to the brewers and one of the biggest is having a recyclable pot. And so that being implemented as we speak and we’ll be completed by the end of 2020. And just give you one final point, we get a lot of question of where you have launched our grower so you got everybody, so you’re going to get base on that into system. It takes time. People don’t typically replace their brewer until their current brewer breaks. And so, we have to layer on lots of different features and benefit to get people and it really is a slower build and one might think. But it’s all moving in that direction and that gives us line of sight to growing household penetration for quite a long-term.
Operator: Our next question comes from Lauren Lieberman with Barclays Bank. Your line is now open.
Lauren Lieberman: Hey, I wanted to ask a little bit about the Allied Brands, so I’m assuming kind of the slower ramp is about the market performance is what you already have in the portfolio not a matter of attracting more. I’m sure the different story for different brands, but anything you can offer is it sort of the health of the brands you establish brands that you brought in-house? Is it noise that sort of the newer segment that you’ve been entering? And I know this is a short-time period, but is this performance sort of impacting at all you’re thinking about portfolio composition for Allied piece as you go forward?
Bob Gamgort: Yes. Let me give you a couple of thoughts on that Lauren. I think first of all, as I mentioned, the total Allied portfolio now is about $350 million in sales. So, it's important but it's not as large as it once was. That number maybe surprising because you might think well, I thought that number was much larger than that. And the reality is of it, it was, but if we recall we acquired some of those businesses. So, if you look at the core and the Big Red businesses that we acquired in the past year, that actually are larger the then the remaining Allied Brand portfolio that we have left. So, it’s still a good opportunity for us to access different segments and difference levels of growth, but in its absolute is not as important as it once was. We talked about the net change in Allied Brands with FIJI and BODYARMOR coming out and some of the new ones coming in, evian, Peet's and FORTO. We said that was about a 100 bps headwinds and now we’re saying it's about 200 bps headwinds. Look, if you take a rounding this involves in that, it was slightly more than that rounded down to a 100 and slightly less than that rounded up to 200. What we’re talking about here is a delay in sales versus our expectation of about $50 million. So, it has an impact on our growth rate for sure, but the good news is I emphasized before is that we’ve been able to offset that with really good strength in our core owned businesses, which speaks to the health of that portfolio. As we sit here today to answer the part of your question and we look at those new brands, we think it is primarily just at the delay. It's just a slower startup. We're getting the distribution. The velocity is building. It's just not the rate that we thought would be and it's a combination of things when you're looking at new brands sometime it's hard to forecast. Evian is a good example, if you look at the latest 13 weeks, we're growing evian at about 8% that below the categories because the category is really strong. The category is grown like 12% to 13%, but 8% is not too bad is up significantly. So, we're seeing traction, it's taking longer to get there and it really doesn't affect the way that we think about Allied Brands going forward. And as I will remind you, we will also continue to put new partnerships in place like A Shoc that will continue to fill that pipeline. So I think this is well contained and well defined and really doesn’t change our outlook going forward.
Operator: Our next question comes from Steve Powers of Deutsche Bank.
Steve Powers: I wanted to drill into Beverage Concentrates if I could. The performance there was really strong in this quarter and price realization seems to be that the key driver in both sales and segment margins. Is there anything you're doing differently in that business this year, perhaps, with respect to promotional depths or breadth to drive that kind of price realization, seemingly without any real degradation of volumes? And if so, what's the runway on that source of profit growth continuing? Is this a one-year step up there were sitting in 2019 with more normalized growth to resume in the year ahead? Or do you see more incremental opportunity available to you in 2020 and beyond?
Bob Gamgort: It's hard to know what price realization going forward is going to be, to be honest with you. I mean, that’s a very much driven by the industry in total and other factors like inflation. So that's still to be determined. What you're pointing out those very important is the strength of our brands that are sold as a Beverage Concentrates segment, allows the pricing to be put in and yet the volume holds up nicely. And remember, these are the sales primarily a brand like Dr Pepper, Canada Dry and then we've got others Crush, et cetera, Schweppes that go through and are sold by either Coke or Pepsi, but also very important channel of Fountain Foodservice, which is restaurants. And as we point out a number of times, Dr Pepper is actually the most available brand in the country in Fountain Foodservice. So the brand, it’s a concentrated portfolio of brands with incredible strength. That's why we continue to invest heavily in marketing behind these brands. They are able to withstand the pricing in which you are seeing in the quarter is that pricing flowing through that was taken sometimes a bit of a delay get that pricing. And you're seeing that matched up against the benefits of productivity and synergies across the entire business as a result of the integration and that’s why you're getting such powerful profit increased during that during. But it’s a very robust business to report about pricing we will see we take every opportunity we get going forward but its hard to have a forward-looking position on industry pricing.
Steve Powers: Just to clarity then this is reflective of true list price increases that you taken versus your change in the promotional cadence or is little bit both?
Bob Gamgort: When we're selling in the concentrates segment, yes, the answer is little both, but when you take a look at the concentrates segment, when you think about pricing is different than what you think about it in our packaged beverages segment, we're actively involved in the promotions. And we’re selling to somebody else who turns around and resale our products in the beverage concentrate segment. So that’s why it’s more of a combination of it, but its really more about the absolute pricing that we’re giving and it is timing or level of discounting as you might see in a retail environment.
Operator: Our next question comes from Nik Modi with RBC. Your line is now open.
Nik Modi: So, the question -- I have two one, just two quick ones. On Bai what happens, I guess is the question, what do you think is really causing some of the weakness and the fact that it’s been lagging your expectations? So that would be the first one. And then the second one Bob is just, look, I think you guys have obviously done a very good job of integrating at a time where a lot of big mergers have not really done that well. And I’m just kind of thinking about future layers of value creation and thinking about what’s been going on between Coke and Pepsi and your franchising and how it’s really worked for Coke? And I just wonder, is this an opportunity for KDP longer-term, just wanted to get your thoughts on that?
Bob Gamgort: Bai, I think a pretty straightforward which was -- it was a pioneer in the category, it became the number one player by far and there is a lot of competition -- where that's CPG issues to happen every day what do we need to do, we need to refresh the brand and drive it to the next level with innovation that we’ll keep ahead of the gain. For perspective, when we talk about weakness in buy, it’s still a business that’s about a $0.5 billion in sales and on 52-week basis according to IRi grew by 3%. So, it's not that the brand is falling off the edge. It's just not growing at the level that we believe has the potential to grow. And so, it's going to be a combination of renovation on the brand and some innovation that we’ll continue drive. And again like I said what we have we’re going to share that with you in early 2020. With regard to your question about M&A more broadly, we’ve been very focused on taking portfolio that we have today and making it work and you’re seeing there is a significant amount of upside potential for the foreseeable. There will be a point of time and we’ll start thinking about M&A differently. You’re also talking about the, we’re off to a market side of the business refranchising and driving that. There is nothing that we would talk about at this point in time, but one of the big value drives is for us to optimize the distribution system that we have today. And what that really means in the near-term is running more effectively which is actually showing up in a lot of our numbers. And also on the margins bringing in routes from independent distributors for examples where we see an opportunity to combine with our own route to get more scale, we’ll be doing that on the margins, but I will keep that as more fine tuning on top of running the fundamental distribution systems we have right now better rather than a big strategic move like a one day that you’re referring to.
Operator: Our next question comes from Sean King with UBS. Your line is now open. Your line is now open.
Sean King: Given the pod volumes during Q2 and then this quarter like the rebound, are there any I guess channel inventory consideration into Q4? And is there potentially any upside I guess in the full year outlook?
Bob Gamgort: If you look at our pod volume over the long-term, it's been really solid. So, just to remind everybody, in 2018, pod volume was up about 7.5%. We’re running 8.5% on a year-to-date basis and 12% basis to running about the same about 8.5%. What we called out in the last call was the fact that we knew that we shipped ahead of consumption in the second quarter, 100% driven by partners who wanted to take volume earlier. To that, we were up 12.8%, we said that we're going to get a reactions to that in our numbers in Q3, we did were up six, which is below our long-term trend. Our assumption is, when you look at Q4 as it all reverts back to the mean and there is nothing notable the call out on that. And I think part of the learning over the past 18 months or so, if you look at this business, it's a challenging business to try to forecast quarter-to-quarter, if you are outside of the Company. But when we take a broader view and you don’t even have to go much longer than six months, but certainly if you go 09 months or year, it's a really steady and dependable business with some quarterly fluctuations. And so, our assumption in any situation that unless something notable that we will call out, you should assume that it just reverts back to me.
Operator: Our next question comes from Kevin Grundy with Jefferies. Your line is now open.
Kevin Grundy: Question really for both of you, if you want to touch on this. So far so good with the synergy delivery and credit to you and your team for doing that and you are still targeting. Is it kind of take a step back and look at, it's been closing in on two years since the deal was announced, you obviously had a much, much closer look at the different areas of synergy. So a couple of different questions, and Ozan, what do you see as potential upside, if any, to that initial target? And then Bob for you, the target was a number that you expected to fully flow through see to earnings. But as we've had this conversation in the call, and Bai needs some attention and Snapple needs some attention, it's going to be slower ramp with the Allied Brand. So there is an argument to be made that maybe invested level need to move higher. Does that give you any cause with the 600 million target maybe you do need to address some of it and should now potentially flow through to earnings?
Bob Gamgort: Let me take the second one first and then Ozan could talk about where the 600 million is coming from and to your point now that we're in a, what's our level of confidence. As we point out, we put these ambitious targets out just about two years ago a lot has changed over that time. We had to compensate for significant inflation increases. We've seen pricing in the industry which had a negative impact on volume. The points about Bai or Snapple are those -- that’s business as usual. You always have brands that are performing well or above plans, look at the strength in CORE Hydration for example, doing incredibly well. And we always have brands that you need to fix. And so, on balance out of there no conclusions that you should take from that, that means there is an overall increase in spending or investment required to address those. It's more just being very frank with you guys about where things are working and where they are not and keeping you in the loop about where our management attention is. So I think the most important take away for you and any of our investors is that. We put out a long-term algorithm and the critical part of long-term algorithm is top line growth to 2% to 3% and EPS growth of 15% to 17%. And as I say frequently, what you pay us to do is to manage through all the change in the environment competition and all the noise is out there and deliver that. And we're going to have levers that we can pull that were positive versus our original expectations that we use those offset some of the negative surprises. And I'd just say, in balance, you should take away, nothing different other than our original algorithm of 2% to 3% and 15% to 17% is intact and the integration is going remarkably well, which supports that, but specifically your question on synergy. Let me turn it over to Ozan in terms of how we now think about that as we were into the integration and also the broader concept of value capture, which is synergies and productivity in a way that we think about it internally.
Ozan Dokmecioglu: Sure. So, we are on track with our expectations to deliver $200 million in 2019, as we have guided several times which also makes us to stay 100% behind $600 million of delivery over three years starting to 2019 through 2021. So that it stays as rock solid commitment and we have great plans to achieve it. As Bob said, we also expect the synergy number to flow through fully in EPS. And we started to deliver the synergies initially in SG&A than procurement and logistics following. Obviously, we have several initiatives that are fuelling these deliveries, but I just -- given the, let's say, big buckets of the areas of the delivery. And as Bob also said behind, besides the deal synergies, we also have several base productivity programs as we call them internally, which is nothing to do with the deal synergies in both businesses that we have all build in our algorithm. And we are also happy to share that we have been executing very nicely behind those initiatives as well.
Kevin Grundy: That’s great. If I could just follow up with on one, Bob, maybe just touch on, you guys decide to make a small tweak to the guidance in early September and then another one to today. What happens I guess in the month of September that you felt incrementally more cost on the impact from the Allied Brand but then incrementally better on the underlying portfolio, presumably as you move through September? Maybe you could just comment on that I’ll pass it on. Thank you.
Bob Gamgort: Yes, sure. I mean we talked that the 1% to 2% that we talked about back in September at an industry conference was clarification of our position that we’re well known. People were struggling with trying to do math on the fourth quarter might look like. And so, we just decide to clarify. If you recall when we said just to clarify that our reported net sales will be in the range 1% to 2%, consensus was around 1.4%. So, we saw that as a non-event that surprised us that people thought that wasn’t event. What we are seeing right now which I think is important to point is, this is about the time period where the Allied Brand, new Allied Brands should have kicked in at the higher level than they are. And I just put the size of that. On an annual basis, it's about $50 million. But again the good news is, that our, we’re seeing real strength in our core business. And that’s been able to offset that. So that balance that puts us in a position where we have confidence in a 3% underlying net sales growth for the year, which is a very strong number. And it's just the tweak between the Allied Brand and Core which I think is a net positive. And as I said earlier, I really think the Allied Brand number is more about timing than it is anything else. But when we get around 2020, we’ll talk more specifically about that.
Operator: Our next question comes from Amit Sharma with BMO Capital Markets. Your line is now open.
Amit Sharma: Bob, I wanted to go back to your response to Steve's question on the sustainability of Beverage Concentrates segment. And I want to like broaden it, to not just Beverage Concentrates, but Packaged Beverages as well. Is it fair to read from your statement that these are good sustainable margin structure for these businesses as we go into 2020 and beyond?
Bob Gamgort: Yes. I mean if you think about what we’ve been consistent in saying which is, 2% to 3% top line, 15% to 17% EPS growth, then yes, the implied in all of that is the margin structure that we have in place is solid and sustainable and we'll benefit from the growth that we're talking about. So in any integration, you get a boost from synergies. And as Ozan just talked about, we also look at ongoing productivity that's above and beyond the synergies, which helps fuel those margins, which you do get a point where the margins benefit from the synergies and when you are driving the business based on growth and the top line growth that we're pointing out to you is accelerating, which is driven by an underlying performance is about 3% served by strength in our core brands. And that will continue to drive our total profit as our margins are very sustainable.
Amit Sharma: And just a follow-up on that, like, if you look at historically, legacy Dr Pepper portfolio versus your competition in North America, that portfolio outperformed on an operating profit basis, right? And now, obviously, expectations for both Coke and Pepsi are much higher. Is that performance gap you expect to continue, like legacy Dr Pepper portfolio should still be outperforming those 2 companies in terms of the North American performance, right?
Bob Gamgort: Well, we did spend a lot of time thinking about our performance relative and operating profit relative to our peers. We look at our business. We look at the upside that we have. We see a lot of upside on our business and absolute. As I point out to many people, our portfolio in many cases is not in direct competition with Coke or Pepsi, particularly on the CSD side where our strength is in the non cola segment with Dr Pepper and Canada Dry leading the way. So I don’t think that has changed at all. And look, to answer your question, all of our upside that we believe is in the business in total is reflected in the long-term targets that we set forth.
Operator: Our next question comes from Laurent Grandet with Guggenheim. Your line is now open.
Laurent Grandet: Two questions, I mean, the first one on McCafé. Kraft Heinz indicated that McCafé would hit the EBITDA by about $200 million in over 12 months. Should we think I mean you will gain that $200 million in your EBITDA from mid next year to mid 21? And could you tell us what is your plan for that brand that we will carry?
Ozan Dokmecioglu: Yes. So, I mean, first of all the way that we will look at this move of McCafé into the Keurig system really speaks to the value of the Keurig system. It's a vote of confidence. And I will remind everybody that if you look at all of our branded partners, all of them, but nearly all of them at this point in time as the contracts have expired, have extended for longer period of time then they ever have before. So, there is just one more vote of confidence that partnering with Keurig is good for everybody in the ecosystem. We transition that over to us in 2020. There are upfront investments that are involved with it. And we will talk when we talk about 2020 will talk about how that impact our guidance in 2020. But remember before you take that get to take the puts and takes together, we don’t know environment is going to be in 2020. That would be a negative so we got positive and negatives and as I said before it's our job to navigate all of those and be able to deliver long-term guide. I have not seen the number that you are referring to all I would suggest though is there is a about $300 million in retail sales not wholesale, I could not good number merely that big based on a retail business of $300 million and if you haven’t seen that one, but we’ll provide more clarity when we talk about 2020 and how that may impact our results at that time.
Laurent Grandet: Yes, sure.
Maria Sceppaguercio: Let me just remind you, it's Maria, is that we already had McCafé in the system. So, as you think about incrementality and what it might means to the business, it was already in. This is a different relationship. It's broader, as I’m sure you know. But it's not wholly incremental and I think that’s important to keep in mind.
Ozan Dokmecioglu: Yes. That’s good point. Just to, thank you for bringing that up. I think to put a final thought on that one is, we already participated in the financial of McCafé to a level through the K-Cup business that we have. So, it's not unlicensed business that came in, but that this is all incredibly positive for us. We just don’t I think the number you put out there would be very big and it’s not necessarily incremental and so that’s what we’re clarifying them.
Laurent Grandet: And a quick one again on the concentrate business, obviously so profitable for you so that as some implication about the next quarter and the future. So, either I mean you’re volume and you’re sales and volumes were very strong in the quarter. Could you tell us the level of inventory at labor? And it seems there is a disconnecting performance versus what we are seeing in the Nielsen data?
Bob Gamgort: Well, I don’t know how you could see that data, to be honest with you. A lot of this goes through restaurants and places that there are different to really to all I suggest that this quarter is not to disconnect between our sales and what we believe is consumption out there at all. But we've been -- we really candid on K-Cup when we ship ahead of the consumption andcalling that out. So, we feel the first one to call that out, this is reflective as I said before a couple of things. You got really good volume dollars, our business is very healthy across those channels and we specifically called out found and food service work brands continue to be in great demand. This is also reflective of pricing that was put in place and as always the delay on pricing flowing through. And when you have a combination of pricing starting to flow through combine with volume that holds up in the base of that, yes, you’re going to see some very good numbers and there is a little bit of what was exactly this quarter a year ago, but something is extraordinary in that number that could, should cause to be concern.
Operator: Our next question comes from Peter Grom from JP Morgan. Your line is now open.
Peter Grom: Bob, I appreciate the color on the tracked versus untracked performance in pods. Is there anything you can share in terms of the price versus volume relationship, kind of where the untracked channel versus what we see in the track? And then the second part, while we are on the coffee business, I appreciate the color on the Q4 pod volume, but brewer volume cycling a very easy comparison. How are you thinking about brewer shipment volume next quarter?
Bob Gamgort: Yes. So, I’ll start with the brewer shipment volume, and again, we minimize the impact of brewer and volume. Our objective is to grow household penetration and I think we have some credibility on that. We had some conversation when there was a quarter year ago that you refer to is an easy compared that cause a lot of concern and we’re way ahead since then. I mean we’re running like a 12.5% growth since that time period. You haven’t heard us for a second we refer to that number nor we use that as a predictor of household penetration because we don’t believe it's a predictor of household penetration. So, I would suggest that the fourth quarter of this year, again, household penetration based on the volume that you’re seeing is growing mid single-digits. You’re seeing brewer growth so far year-to-date above 10% that would suggest that we shipped brewers for the holidays earlier then we have and that’s part of the strategy for our customers. So I think that back to my comments I said on pods reversion to the mean. I think it's the same role applies on brewers. Overtime, it’s a very steady number, the fact that we shipped some earlier is net a good thing because it means we forward position the product gets really merchandising for the holiday season. But in the end, we think it has very little a very weak indicator of performance for our pot business whether it's up or down, we don’t have spent a lot of time talking about that for that reason. Having said, let me talk about pod as you refer to, it's getting increasingly difficult for you guys to track this business using IRi or Nelson because track channels are now representing about 50% of our total sales. And the untracked channels which is driven by club and e-commerce are largely and some other channels are in total growing faster than the track channel. And that separation is accelerating as you can imagine with the adoption of e-commerce. We believe our e-commerce business is 2x to 3x the size of a typical CPG business. So the trend that you're seeing with us is really the leading-edge of where you are going to see the rest of CPG go over time. When we take a look at our business in the untracked channels its growing faster but if you ask about the composition of volume and mix is not materially different than what you see track channels. Our PDP manufacture share and our owned and license share, we believe when we look at our untracked channel is slightly higher than it is in the track channels, like for example away from home. Offices are in here and our share in offices of our own brand is higher, but is not material enough for you to put too much thought in there. It's just the knowledge that you are only looking at half the market. And unfortunately for modeling purposes, the other after market is not transparent to you and growing at a faster rate, which we continue to see accelerating. It's good for the business. In total, it's just harder to observe from the outside.
Operator: Thank you. That concludes our question-and-answer session today. I'd now turn the call back over to management for closing remarks.
Bob Gamgort: Thanks everyone for joining the call today and I know we went a little bit over and it’s a busy day for everyone, but the IR team is around today for any follow-up questions. Thank you.
Operator: This concludes today's conference call. You may now disconnect.